Operator: Good day, and welcome everyone to IDACORP’s Third Quarter 2014 Conference Call. Today’s call is being recorded and webcast live. A complete replay will be available from the end of the day for a period of 12 months on the Company’s website at www.idacorpinc.com. (Operator Instructions). At this time, I would like to turn the call over to the Director of Investor Relations, Mr. Lawrence Spencer. Please go ahead, sir.
Lawrence Spencer: Thank you and good afternoon everyone. Welcome to our third quarter 2014 earnings release conference call. We issued our earnings release before the markets opened today and that document, along with our SEC Form 10-Q, is now posted to our website at www.idacorpinc.com. We will be using a few slides to supplement today’s call, and these are also located on our website. We will refer to specific slide numbers as we work our way through today’s presentation. On slide 2, we show the presenters on today’s call. Darrel Anderson, IDACORP’s President and Chief Executive Officer; and Steve Keen, IDACORP’s Senior Vice President, Chief Financial Officer and Treasurer. We also have other individuals available to help answer your questions during the Q&A period. Before turning the presentation over to Steve, I’ll cover our Safe Harbor statement which is on slide 3. Our presentation today contains forward-looking statements. While these forward-looking statements represent our current judgment or opinion of what the future holds, these statements are subject to risks and uncertainties that may cause actual results to differ materially from statements made today. As a result, we caution you against placing undue reliance on these forward-looking statements. A discussion of factors and events that could cause future results to differ materially from those included in forward-looking statements can be found on slide 3 and in our filings with the Securities and Exchange Commission, which we encourage you to review. On slide 4, we present our quarterly and year-to-date financial results. IDACORP’s third quarter 2014 earnings per share were $1.73, an increase of $0.27 per share from last year’s third quarter. For the first nine months of 2014 earnings per share were $3.16, $0.07 more than last year’s comparable period. Steve will discuss these results in greater detail and review our key operating metrics.
Steve Keen: Thanks, Larry, and good afternoon, everyone. Today we’ll discuss the reconciliation of earnings from third quarter 2013 to third quarter 2014, our cash flow and liquidity positions, changes to the 2014 key operating and financial metrics and the impact of our current Idaho Regulatory Settlement stipulation. At the backdrop, 2014 has benefited from slightly above normal weather impact this summer. However, in comparison to 2013, the current year has been more moderate. Last year benefitted from increased heating and cooling degree days throughout the year at record levels compared to the previous 10 years. Thus far 2014 has experienced closer to normal weather conditions with slightly above normal weather impacts in the third quarter. On slide 5 we presented the reconciliation of earnings from third quarter 2013 to third quarter 2014. Net income increased by $13.8 million in large part due to lower income tax expense resulting from a tax method change that I will discuss in a moment, overall Idaho Power Operating income declined by $10.6 million quarter-over-quarter. Lower overall usage in the residential and irrigation customer classes due to milder weather and precipitation led to an $8.3 million decline in operating income. While increased sales from customer growth benefitted operating income by $3 million partially offsetting the weather related impact. Operating expenses were higher by nearly $4 million due to greater depreciation, increased property taxes and normal payroll and benefit increases. Increased revenue sharing also reduced our operating income line by $1.5 million as we now anticipate sharing benefits with our Idaho customers based on our full year projections. For current year impact it’s important to know we recorded a $4.9 million provision against revenues for the impact of sharing through the first nine months of 2014. As I mentioned earlier the $15.7 million decrease in income tax as shown in the table is due to a tax method change related to Idaho Power’s capitalized repairs deduction. This amount results from the combined impact of a prior year $4.6 million increase in tax expense in the third quarter of 2013 and a $11.1 million opposite direction benefit in the third quarter of 2014. Last year’s additional tax expense of $4.6 million was related to the expected impacts of the tax method change for years prior to 2013. Subsequent to the end of 2013, the U.S. Treasury issued additional guidance which allowed us to claim a higher 2013 capitalized repairs deduction with the filing of the 2013 tax return. That return was completed and accepted by our IRS audit team in the third quarter of 2014 resulting in an additional $11.1 million of additional tax benefit recorded in this quarter. We believe the method change will deliver some level of increased benefit annually depending on the nature of capital work performed each year. Looking at 2014 we have increased our expected current year deduction for capitalized repairs as reflected in Note 2 on page 18 of our third quarter 10-Q broken out under the heading capitalized repairs deduction. Through the third quarter we have estimated $2.9 million in additional tax benefit this year over the same period in the prior year. As we finalized 2014 and complete the evaluation of impacts on the years prior to 2013 we will gain additional knowledge of the potential on-going benefits. We intend to include the full year update for this item in our tax footnote provided in our 2014 10-K next February. As shown on slide 5 the remaining tax computations for the quarter resulted in a $7.8 million decrease in tax expense. This was largely the result of lower pre-tax income in 2014 compared with 2013. Moving now to side 6, we show IDACORP’s operating cash flows for the first nine months of 2014 and the liquidity position at September 30. Cash flow from operations for the first nine months of this year was $316 million, an increase of $68 million over the same period in 2013. Changes in power supply cost collected under the Idaho and Oregon power cost adjustment mechanisms increased the operating cash flows by $57 million; the remaining change resulted from working capital and other items. IDACORP and Idaho Power currently have in place credit facilities of $125 million and $300 million respectively to meet short term liquidity and operating requirements. The liquidity available under the credit facilities is shown on slide 6. Also, there are 3 million IDACORP common shares available for issuance under IDACORP’s continuous equity program. No shares were issued during the first nine months of 2014 and we do not expect to issue new equity during the remainder of 2014 except for modest amounts relating to employee compensation plan. Moving now to our estimated 2014 key operating and financial metric shown on slide 7. We are maintaining both the expected operations and maintenance range and the capital expenditure range for 2014 that we reported on July 31. We also continued to expect no need for additional amortization of Accumulated Differed Investment Tax Credits or ADITC in 2014. In fact in the third quarter of 2104, we recorded $4.9 million of current revenues to be refunded to Idaho customers under the existing Idaho Regulatory Settlement Stipulation. Our current expectation is that the full year return on year-end equity in the Idaho jurisdiction will be above 10%. Turning back to our operating and financial metrics, we have tightened our expected hydroelectric generation from the range of 5.5 million to 6.5 million megawatts hours to the range of 5.9 to 6.4 million megawatts hours as we near the end of the year. Lastly, based on our third quarter performance and outlook for the remainder of this year, we are increasing our expected earnings per share guidance for 2014 from the range of $3.50 to $3.65 per diluted share to the new range of $3.70 to $3.80 per diluted share. To summarize, this quarter and our updated outlook for 2014 we see solid overall performance in our core business but the results further enhanced by the [pact] method change, even in the year where weather provided only modest improvements to revenues and operating income at Idaho power. Our updated guidance reflects our current expectation that Idaho power will exceed the 10% Idaho return on equity threshold and we once again expect to share benefits with Idaho customers. We believe our continued focus on controlling cost coupled with positive customer growth have been important contributors to these result. I will now turn the presentation over to Darrel.
Darrel Anderson: Thanks, Steve and good afternoon everyone. I’m going to take a few minutes to update you on some regulatory and operational highlights from the quarter. Through our updated economic information and close with a look at temperature and precipitation outlooks. On a regulatory front, the Idaho public utilities commission recently approved a proposed settlement to extend Idaho power December 2011 Idaho’s settlement stipulation for upto five years. As shown on slide 8, the new settlement stipulation extends the terms of the existing Idaho revenue sharing ADITC mechanism with some modification for the period from 2015 to 2019 or until the company amortizes $45 million in additional ADITC. During those years the company may amortize up to $25 million in additional ADITC in a single year to help achieve a 9.5% return on year-end equity in the Idaho jurisdiction for that year. Under the new agreement the customer share of earnings between a 10% and a 10.5% Idaho return on equity increases from 50% to 75%. Also, customers will receive a direct rate credit for 50% of earnings above a 10.5% Idaho return on equity with 25% of earnings applied as an offset to the pension regulatory asset balancing account. As we share with you on our second quarter call, Idaho Power began work on the 2015 integrated resource plan or IRP in August. One of the first tasks to complete was to update the load forecast assumptions for the next 20 years. Based on that update, Idaho Power expects the 2015 IRP to reflect a slight increase in the average and peak load growth rates from those in the 2013 IRP. The average loan growth moves up from 1.1% in the 2013 IRP to 1.2% in the 2015 IRP. And the peak load growth moved from 1.4% in the 2013 plan to 1.5% in the 2015 plan. Idaho power expects to file the completed 2015 IRP in June 2015. Moving now to slide 9, in dividend news as we previously announced on September 18, IDACORP’s board of directors approved an increase in their regular quarterly cash dividends on IDACORP’s common stock of 9.3% to $0.47 per share. At the new rate the dividend on an annual basis is $1.88 per share. This action by the board of directors continues to move the dividend payout ratio closer to IDACORP’s stated long term goal of between a 50% and 60% payout of sustainable IDACORP earnings and is reflective of continued strong performance by the company. Management still anticipates recommending to the board of directors feature annual increases to the common stock dividend of greater than 5% until we approach the upper end of our payout range goal. On the operations side, on October 24th, Idaho Power and PacifiCorp executed a joint purchase and sale agreement in which the company has agreed to exchange specific transmission related equipment and reallocate ownership interest in certain jointly owned transmission related equipment. We believe that transaction will enhance the ability of both companies to better serve their respective customers. The net book value of the equipment Idaho Power and PacifiCorp are exchanging is roughly equal at approximately $43 million each. The exchange transactions provide for the termination and amendment of a number of legacy transmission agreements between the companies. As part of the transaction the parties also executed a joint ownership and operating agreement. That agreement is intended to provide Idaho Power and PacifiCorp with access to transmission facilities that are aligned more closely with current industry standards and allows the parties to more efficiently satisfy regulatory and reliability requirements. The joint ownership and operating agreement allocates the directional transmission capacity of the exchange transmission related assets between the companies, which will be managed pursuant to each company’s open access transmission tariffs. The joint ownership and operating agreement also provides for the operation, upgrade, repair, rebuilding and decommisiong of the exchanged asset and certain other equipment each company owns. Closing of the proposed transaction, effectiveness of the joint ownership and operating agreement and effectiveness of the termination and amendment of the legacy transmission agreements are subject to a number of conditions, including approval by several state public utility commissions and the federal energy regulatory commission. Given a regulatory approval requirements we expect closing of the transaction will take several months. Moving onto the economy, I will share with you a few examples of a continued improvement in our state shown on slide 10. Recently released September 2014 unemployment number show a continued downward trend with the unemployment rate in the Idaho Power service area dropping to 3.8% and improvement from this time last year when service area unemployment was at 5.7%. Idaho has for the third year been awarded a State Trade and Export Promotion Grant also known as STEP. Funded in part through a cooperative agreement by the U.S. small business administration, the STEP Grant program focuses on increasing the number of U.S. small businesses that export and increasing the value of exports by small businesses. Idaho is one of 24 states chosen as a grant recipient. Our state and its business continues to receive national media recognition as well. A 2014 Ink magazine list of the 5000 fastest growing private companies included several Idaho companies including retail, telecommunications, software, health and financial services businesses. Forbes Magazine identified Boise as one of America’s best cities for young professionals, citing several factors including its media and salary, education level, unemployment rate and average yearly job growth. Idaho is consistently recognized as a top state for business friendliness and the business community is paying attention. [Chobani], Cliff Bar, Amy's Kitchen, and Scentsy are recognized companies investing in Idaho. Just yesterday, Idaho Governor Butch Otter, announced the Amy’s Kitchen will be taking over the former Heinz plant in Pocatello. Amy’s Kitchen started in 1988 to create frozen meals for vegetarians and calls itself the nation’s leading natural frozen food brand. Initially, Amy’s is expected to employ 200 full time employees and be operational by December of this year. We have continued our efforts to promote responsible and sustainable growth in our service area and we are seeing those efforts pay off. Finally, I’ll like to update you on the precipitation and temperature forecast for November 2014 through January 2015. On slide 11, the forecast is looking drier and warmer. We have in place mechanisms such as the annual power cost adjustment mechanisms to help mitigate those times when Mother Nature has her own agenda allowing us to share both the risks and the rewards of weather-related conditions with our customers. And now, I and other members of the management team on the call today will be happy to take your questions.
Operator: Thank you. (Operator Instructions) Our first question comes from the line of Ashar Khan from Visium.
Ashar Khan - Visium Asset Management: Hi. Good morning. How are you doing Darrel, congratulations?
Darrel Anderson: Hi, Ashar, Ashar, how are you doing?
Ashar Khan - Visium Asset Management: Pretty good, pretty good. Very, very successful year to-date for you and the team.
Darrel Anderson: Thank you.
Ashar Khan - Visium Asset Management: Can I just, Darrel, if I was trying to do, right, cash flow is coming up really well this year, right, based on what you're showing.
Darrel Anderson: We think, it has shown improvement from a year ago, that’s correct.
Ashar Khan - Visium Asset Management: If we can kind of mint money at the same rate as we are doing this year. Is my math correct, we really don't need equity at all over the next couple of years, because our equity ratio is pretty damn good? I was just looking at the income statement on the Q. We are at 53% right now. So, is my reflection pretty accurate, really? We don't need equity unless the weather bombards or something really bad happens, which doesn't seem like foreseen because you're increasing the load forecast and peak load and everything?
Steve Keen: Sure, this is Steve. I would agree, I don’t believe there’s a need for equity this year and we’ve stated that. As for further out, we have not make a statement with regard to feature equity, but we have made the statement that given our ratio that you’ve recited them, we certainly have the ability to go to the debt side of the world first without causing any issues with our ratios and that would especially in the world where debt is fairly inexpensive that would seem to be choice number one. I would say on the cash flow there is an ebb and flow due to our mechanisms and how we collect under the PCA that can sometimes mislead a bit. It isn’t necessarily all sustainable year in, year out, so -- and I believe we’re in an upswing right now collecting some of what we were behind on from prior years. And that will turn, will head back.
Ashar Khan - Visium Asset Management: And then if I can just follow-up to something which you said in your commentary that you said some of the tax benefits are going to be repeatable next year as well if I understood correctly in the commentary. Could you give us some kind of sense that how much is -- could be repeatable into next as well?
Darrel Anderson: Well, that’s sure, I gave a reference if you look at our note 2, its page 18 in the Q that we just put out. We’re not really giving a full year projection, but through the three – the nine months thus far. So through third quarter we highlight that we are booking at a rate of $19 million so 61] versus last year’s of [16,129], so roughly $3 million ahead of last year, and that’s not a completely annualized number, but it will -- that number –if things stay the same will be larger at the end of the year just because we’ll have fourth quarter booked. What we intend to do is watch this much closer. We’ve actually accelerated some of the work we’re doing around repairs because as it’s gotten bigger, it has a more significant impact and we plan to learn more about the 14 years as we move through the remainder of the months. Our construction cycle is such that we build the lot during summer and those -- close to plant over the fall and into the winter. So, we will be looking at that very closely and it could be that there is some change to that by the end of the year. But what I pointed to others to this in the past we’ve typically only put this schedule in the annual report. And we broke the capitalized repairs out separately in our Q and probably we’ll do that if its stays at this level would be an ongoing expectation, so that we can give people an idea of any movement and impact up or down, as they could see that from our historical results.
Ashar Khan - Visium Asset Management: Okay. But based on the expenditures that you forecast for next year and what you’re trying to do, we should expect this to keep on being an ongoing stuff for at least next year. Is that fair to say?
Darrel Anderson: We do believe that clarification that came from Treasury will give us a greater repairs reduction than we’ve had in the past. a little hesitant to say exactly what that will. We obviously had the little more significant improvement that we’re booking this year if you look at the amount, the $11 million that was trued up in 2013. But it is quite dependent on the type of work that gets done each and there were some large work orders that contributed to that.
Ashar Khan - Visium Asset Management: Okay. Thank you so much. I have another question but I’ll get back in the queue.
Darrel Anderson: Thanks Ashar.
Steve Keen: Thanks Ashar.
Operator: Thank you. Our next question comes from the line of Paul Ridzon from KeyBanc.
Paul Ridzon – KeyBanc: Good afternoon.
Darrel Anderson: Hi, Paul.
Steve Keen: Good afternoon Paul.
Paul Ridzon – KeyBanc: Could you -- just an update on the latest timing expectations around Boardman-Hemingway?
Darrel Anderson: Sure. Paul, this is Darrel. Because right now, probably the next biggest milestones that’s coming up right now is we are looking for a draft EIS that is projected to come out by the end of this year, that’s the current time frame as we sits today, to get the draft DIS out. And so, what we’re saying right now that we would not anticipate and service date on that project until at least 2020.
Paul Ridzon – KeyBanc: And then just back to the repairs deduction. Has that $3 million benefit year-over-year been already reflected in earnings?
Steven Keen: The part that we booked through the third quarter has, yes.
Paul Ridzon – KeyBanc: Okay. Thank you.
Darrel Anderson: Thanks, Paul.
Operator: Thank you. And our next question comes from the line of Brian Russo from Ladenburg Thalmann.
Brian Russo - Ladenburg Thalmann: Hi. Good afternoon.
Darrel Anderson: Hi, Brian.
Steve Keen: Hi, Brian.
Brian Russo - Ladenburg Thalmann: I'm just curious, the ADITCs can support 9.5% floor, but you can -- I'm wondering in a normalized year with cost controls and the positive load growth, and the low tax rate, is it possible to earn, say, 10%?
Darrel Anderson: Well, I think Brian; I’ll start first of all, as we are projecting for this year based on what these comments as it relates to sharing. We are projected to be above 10% this year. And so, that puts us into the 50-50 sharing mode as we did here today. So, based on what we’re seeing this year, we do project to be above 10%. Of course, part of that is supported by the tax method change that Steve referred to earlier, which did add some tax benefits which is what have pushes us into recognizing the $4.9 million of sharing that we have recognized. So, there is the component of that. But that would be the amount above, if you think above 10% where we at today. So even if you factored in the tax benefits which still be pushing that number.
Brian Russo - Ladenburg Thalmann: According to my calculation, it looks like the midpoint to the new guidance puts you in the 10% to 10.5% sharing band; is that accurate?
Steve Keen: Yeah, currently we’re sharing. Yes, we’re above 10% at that range.
Brian Russo - Ladenburg Thalmann: And let me ask a different question. In your original 2014 guidance, what were kind of the ROE kind of bookends or what was the earned ROE at the midpoint?
Steve Keen: Brian, on that Brian I would just say, we’ve opened up each year for the last several years indicating there were some possibility that we would get -- that we would have a need for tax credits, and that’s been less than $5 million I think each. So that tells you that some part of that band is in a range where we’re very close to the 9.5% line and dipping into the tax credits in order to get that number. So, we have been more in that range when you’re planning on the normalized basis and looking ahead. Last year is the year where weather was the item that’s stepped in and really made the difference between starting at that level and ending at a much higher level again obviously backup of 10% and I think we – memory serves me right, we got above the 10.5% last year. So, it’s more of those – the things that vary off of you just normalized, look at things that take you up into those higher ranges.
Brian Russo - Ladenburg Thalmann: Okay. And looks like your year to-date 2014 tax rate is about 17.6% as indicated in the Q?
Steve Keen: Correct.
Brian Russo - Ladenburg Thalmann: And I think in the past, you guys have mentioned that your tax rate will start creeping up in subsequent years. Any help or assistance on what your tax rate might look like post-2014?
Steve Keen: Brian, Darrel made a comment last quarter, we’ll go back to that where he indicated he --on a go forward we thought tax rates were in and around the mid 20s. These numbers that are there for this quarter obviously are slightly low because there was a very pretty large discrete item that got booked all in this quarter and that’s giving us a lower rate. But I think going back to what Darrel said in that second quarter call. I think that mid 20s is the good place to plan for us as a normal -- when things are more in normal basis. And this again, this repairs item is a slight tweak upward that -- but I think that’s a good general range to use somewhere in and around mid 20s.
Brian Russo - Ladenburg Thalmann: So like a mid-20%, but then should we adjust it a little bit lower for what seems like an ongoing $3 million or so tax benefit?
Darrel Anderson: You know, possibly I don’t know that that moves the dial very much, to be truthful, Brian. And the thing you have watch is take a 2013 where our rates -- our income because of weather and that’s being quite a bit larger than we had planned. The items that are keeping that rate low are the flow through items. They don’t fluctuate so much based on whether revenues are up or down. So what you have this kind of a fixed deduction working against the variable revenue. And so the rate is a little -- it can move. It’s not just a flat rate regardless to where you. So you have to watch what’s driving the rate up and down.
Brian Russo - Ladenburg Thalmann: Okay. Thank you very much.
Darrel Anderson: Thanks, Brian.
Operator: Thank you. Our next question comes from the line of Sarah Akers from Wells Fargo.
Sarah Akers - Wells Fargo Securities: Hey, good afternoon.
Steve Keen:
Hi, Sarah.: Sarah Akers - Wells Fargo Securities So, I know the IRP filing isn't until next year, but based on your initial work, are you seeing a potential need for gas capacity ahead of Boardman to Hemingway?
Darrel Anderson: Sarah, this is Darrel. I think right now it’s really too early to kind of say anything, because they are just right in the middle of looking at various alternatives, because couple of things are come into play and one of the big ones probably is 11A-D. And what impact that could have between now and 2020 depending on what we might be required to do there that could cause a change and what happens we will be running a scenario – 11A-D scenario is part of our IRP process this go round. So, I can’t tell you, I mean, there maybe a resource required, but I don’t know until we get to the process.
Sarah Akers - Wells Fargo Securities: Got it. And then it’s separate…
Darrel Anderson: And it’s still pretty early is the thing. So there’s going to lot happen over this winter and in the early spring.
Sarah Akers - Wells Fargo Securities: Sure. And then what are your latest thoughts on the strategy for getting recovery of Jim Bridger SCRs?
Darrel Anderson: That’s a great question. And I think first of all with the extension of the ADITC first of all. So that with the extension of that going up for five years, that in essence runs into that potential period where we would consider a single item rate case possible. But we would have to look at all of the factors that go into, all the other things that are going on and how far -- how long its been since our last general, which again is 2012. Would have to all go – all those things that we taken into account to determine if that’s the right strategy to go in on a one-off, one-off special rate case for that – for those expenditures.
Sarah Akers - Wells Fargo Securities: Got it. Thanks a lot.
Darrel Anderson: Thanks, Sarah.
Operator: Thank you. And our next question is a follow-up from the line of Ashar Khan from Visium
Ashar Khan - Visium Asset Management: I just wanted to go over -- I was just looking over your book value at September 30, kind of like for Idaho Power Company, something over $36 or so. So -- and I was also looking a…
Steve Keen: $36.12 plus or minus.
Ashar Khan - Visium Asset Management: That is correct. And then I was looking at the change over the last 12 months or nine months, let's say nine months figure in the Q and it's nearly like $1.80 or so. So if one takes $1.80 and multiplies it within nine and three quarters, which is I guess the midpoint of the 9.5 and the 10, it comes to something like $0.18 or so. So is it fair to say we are, with this, of course this new mechanism now approved and everything that that is probably the growth rate that one should expect assuming of course we don't issue any equity, which I hope we don't, of at least growth rate of about $0.17 or $0.18 every year as the natural progression?
Darrel Anderson: Ashar I’m trying to follow your calculation, I think I follow you but I’m not 100% sure. What I would tell you is arguably as you know with our mechanism that’s in place today with the ADITC which is based on year-end Idaho jurisdictionalized equity. And so, if you can look at that, you can look at what you estimate the change in that year-end equity is, and that is one way you can go about anticipating what growth rate could look like. So I’m not 100% sure which way you’re going. But if you focused on the year-end equity and make some assumes for what that Idaho jurisdictional component is that can give you -- that should give you some range of what the potential is for growth and earnings.
Ashar Khan – Visium Asset Management: Okay.
Darrel Anderson: Under the ADITC.
Ashar Khan – Visium Asset Management: Okay. Another way to ask it, have you -- you haven't given out, Darrel, a growth rate for the Company, right? Is that correct?
Darrel Anderson: That’s correct. That’s correct.
Ashar Khan – Visium Asset Management: Okay. But you have been clipping one normalized everything. It's been 5% is a pretty good number for you guys; is that fair on a normalized basis?
Darrel Anderson: If you look at over the last six or seven years, I think that number Steve is…
Steve Keen: It’s in that range.
Darrel Anderson: Yes. It’s in that range.
Steve Keen: Its will be a little better than that but it’s in that range.
Ashar Khan – Visium Asset Management: Okay.
Steve Keen: We actually have a slide we been debating brining down to EEI with this, that will be really historical look back. It’s all data you guys have today. But looking at what are opening guidance has done each year over a number of years are actual do present an interesting look and it’s mainly because of the mechanism. When you get to the fourth at the bottom side and then as you have a good year, for instance, this year, and you run into the top, it’s like there’s a governor on each side and in this kind of band you in there. But -- and we’ve done a lot of talking about our actual results that are might to good to actually at how we open guidance and what has happened there. But on a historic basis that has been in and around the number you’re talking about.
Ashar Khan – Visium Asset Management: Okay. That’s great. I really appreciate it. Thank you so much.
Darrel Anderson: Thank you, Ashar. Thank you.
Operator: Thank you. And our next question is a follow-up from the of Paul Ridzon from KeyBanc Paul Ridzon - KeyBanc Thank you. My question was answered. Darrel Anderson Thanks Paul.
Operator: Thank you. (Operator Instructions). And this concludes our question-and-answer session for today. Mr. Keen, I’ll turn the conference back to you.
Steve Keen: Thank you all for participating on our call this afternoon and your continued interest in our company. We hope to see many of you soon at the EEI Financial Conference in Dallas. Thanks again. Good bye. Thanks operator.
Operator: That concludes today’s conference. Thank you for your participation.